Operator: Good morning, everyone. Welcome to Rubicon Organics Second Quarter June 30, 2023 Financial Results Conference Call. As a reminder, this conference call is being recorded on August 17, 2023. [Operator Instructions] Before we begin, I will refer you to Slide 2 of our presentation, which contains Rubicon's caution regarding forward-looking statements and non-GAAP measures Today's presenters will be Margaret Brodie, Interim CEO and CFO; and Janis Risbin, Vice President of Finance.
Margaret Brodie: Thank you, operator, and good morning, everyone. Today, I'll provide an update on Rubicon Organics' performance in Q2 2023, highlighting our progress as a leader in the Canadian cannabis market. In Q2 '23, we achieved record net revenue of $11.3 million for the three months ended June 30, '23, a 28% increase from Q2 '22 and $20.1 million for the six months then ended, a 44% increase compared to Q2 '22. We delivered adjusted EBITDA of $1.8 million and $1.9 million for the three and six months ended June 30, '23, an increase of $1.5 million and $3.2 million compared to the comparative period in '22, marking our fifth consecutive quarter of adjusted EBITDA positive. We also achieved operating cash flow of $2.4 million and $2.6 million for the three and six months ended June 30, '23, delivering almost $7 million in operating cash flow over the 12 months ended June 30. We have grown our cash balance in three months by 22% to $9.3 million, and we've achieved 2% market share of flower and pre-rolls and 5% of the premium flower and pre-roll category. From a commercial perspective, we have been busy. Under Simply Bare Organic, we have launched new unique flavor forward genetics of BC Organic Harlequin, Scotti Biscotti and Jelly Breath. 1964 has had a raft of offerings, including Rubicon's first edibles product where we have successfully launched 1964 Live Rosin Gummies in Ontario, BC and Alberta. Beyond edibles, 1964 has launched Gelato #41 flower and rosin infused pre-rolls under our award-winning Comatose stream with highly anticipated Death Bubba flower rolling out right now. After purchasing the Wildflower brand last year, we are working to expand the offerings available under the brand. And now in market are the new Wildflower Extra Strength Relief Stick and the Wildflower 1:1 CBD:THC Relief Stick. One of the notable items in the second quarter was the result of an independent study of Canadian Budtenders by the Brightfield Group. Budtenders are often cannabis connoisseur similar to a Sommelier and carry a lot of weight with shopper decisions. The survey results demonstrated that Rubicon's super premium, Simply Bare Organic and premium 1964 brands held two of the top 3 spots of the most recommended by budtenders. I'm proud of the progress of our 1964 brand, which achieved national recognition after its launch in '21, achieving the number one premium brand status in Canada in April of this year. This success is a testament to the robust foundation we established with Simply Bare. It vividly illustrates the significance of budtenders in the Canadian cannabis landscape. They recognize the quality and credibility of Simply Bare, which paved the way for a seamless introduction of our secondary brand, further solidifying their trust in the parent company's brands. And hot off the press or a few other tidbits we have just learned. Firstly, our 1964 flower was recently voted by Ontario budtenders as the number one flower at the Kind Summer Fair in July. And we are happy to hear it recently that a few notable cannabis associated celebrities requested our brand by name as their only flower purchase when visiting BC. We have worked tremendously hard to develop operational processes that consistently deliver in our opinion, the best premium flower in the market. And we are pleased to see that when users are looking for a flavorful high-quality experience, they look to Rubicon brands. The remarkable journey of our brands accompanied by their reputations signals our readiness for even greater expansion. Beyond our flower business, our Wildflower brand has become Canada's favorite topical product. The Wildflower brand is the number one topical in Canada with an incredible market share of almost 23%, up 38% in the three months to June 30 as compared to the prior year. The product is targeting those consumers seeking the benefit of CBD wellness and we are excited for the opportunity to further expand on the strong platform that Wildflower. For an everyday wellness user, you can expect to see more new products from us targeting that consumer before the end of 2023. Rubicon is focusing and readying for more growth. And in order to do this, we have set four key priorities in '23. Firstly, to optimize yield and cultivation at the Delta facility. Secondly, we seek to maximize the Canadian premium opportunity by leveraging the strength of our leading brands. Thirdly, we want to drive efficiency in processes and systems to ready for growth. And lastly, we aim to build a proud and engaged team who deliver outstanding results. Our first priority is to optimize yield and cultivation of the Delta facility. Rubicon is dedicated to providing the Canadian market with super premium quality cannabis flower products as our primary focus. As a flower first business, we prioritized excellence in this domain and constantly strive to enhance our flower quality. We maintain an unwavering and endless commitment to continuous improvement, acknowledging that we can always push further with our quality. Rubicon's cultivation and processing teams are constantly evaluating data, looking at improvements and trialing new genetics and methodologies to improve our products, and we believe the steady incremental improvements in our quality are demonstrated in the market with the recent drops such as the Simply Bare Organic flavor forward White Rainbow strength, which we internally believe is some of the best flower in genetic we have ever produced. In the second half, we've begun our project installing tables and the remaining compartments in the facility. The positive impact from this installations will begin to be noticed in late '23 and enter early into '24 crops, where there will be an up to 10% additional yield, but also an improvement on air circulation within the facility, which will lead to increased plant health and higher proportions of our highest quality grade flower, more high-quality flower in turn, provides further opportunities to strengthen and grow our highest margin Simply Bare brand. Constant improvements and refinements within our operations lead to continuous improvements in our flower quality, driven by our operational execution, which means consistency and quality in our brands. Secondly, we are seeking to maximize the Canadian premium opportunity by leveraging the strength of our leading brands. Our goal is to optimize the gross margin per gram produced by offering customers the right genetics and product formats at an appropriate price-to-value ratio. We aim to grow the Simply Bare brand and enhance the gross profit of our other brands. As we currently face capacity limitations, we are strategically making product decisions to maximize contribution margins while meeting consumer and customer, the provinces, insights and demands. An example of our approach is the recent launch of Simply Bare's BC Organic Harlequin. Responding to a high demand gap in the market, we launched Canada's first super premium one-to-one under Simply Bare. BC Organic Harlequin has a balanced ratio of 11% CDD and 8% THC, and this product has quickly demonstrated high repeat sales orders since its launch in BC. This launch proves that targeted consumer in cycles with both high-quality product and operational execution drive brand performance. Once the remaining tables are installed in our Delta facility, Rubicon will have maximized the capacity within our current facility for total flower volume. Recognizing this constraint through the first half of '23, we have been evaluating and establishing high-quality partnerships for both contract grow and co-manufacturing as an asset-light model in order to complement our own premium production and satisfy the increasing demand for our brands. This effort has been a lengthy and thorough process for Rubicon to mature new partnerships to meet our quality standards and their operations are able to deliver on the standards that our consumers have come to expect from our brands. In order to grow our brands in the Canadian marketplace, we expect to see a ramping up of these - of supply from these partnerships beginning in Q4 '23. We have taken the first step to achieve incremental gross profit beyond our production capacity at Delta and in April, launched 1964 single-strain live rosin edibles. This asset-light strategy has allowed us to generate additional sales and gross profit, while building on 1964 brand with minimal impact on Delta's capacity. Thirdly, we want to drive efficiency in processes and systems to ready for growth. To improve efficiency, Rubicon is finalizing plans for an ERP system to begin implementation in late '23. Though it will drive short-term nonrecurring costs, new systems will bring efficiencies going forward. Lastly, we aim to create a proud and engaged team who deliver outstanding results. At Rubicon, we placed a strong emphasis on team member engagement and pride in order to ensure the delivery of a premium product while minimizing costs related to team member turnover. Additionally, we are actively seeking input across the company to refresh the Rubicon value and with an internal engagement survey as we embark on the next stage of our business. In line with our commitment to accountability, we are finalizing our third environmental, social and governance report, which will be released in the coming months. We have been able to continue with positive trajectory of positive financial results through our three flagship brands, Simply Bare Organic, our super premium flower first products, 1964, our premium flower first products and Wildflower, our wellness-focused brand, where we delivered consistent high-quality products that are recognized and winning with consumers. We have strategically diversified our offerings to cover a wide range of formats, sizes and product categories with this approach allowing us to be competitive and agile regardless of the market's direction. The overall cannabis market continues to grow in 2023, coming off record legal sales totaling $4.5 billion in '22 with an estimated 40% to 50% of consumers still purchasing in the illicit market, there is more growth yet to come. Current trends and data indicate that over the next three years, the premium market will grow by over $300 million. Our thesis, the premium market is where the profitability lies is growing at an even faster rate than the overall market, meaning the opportunity in the part of the market where Rubicon is significant. But what we have seen this summer is a volatile Canadian cannabis market impacted by two notable trends, price compression and THC inflation. For both the total and premium market, the growth in units sold exceeds the dollar spend, indicating market price compression. We attribute this price compression to the financial strain faced by numerous competitors, compelling them to offload inventory at reduced prices to alleviate debt burdens. This scenario is anticipated to rebalance post '23 bankruptcies with excess capacity coming offline over the coming year. In essence, we regard this price compression as a transient phenomenon. The dynamic shifts in the market are influenced by short-term financial pressures, and we expect the landscape to evolve to a more balanced and favorable setting with opportunity for strong enterprises like ours in '24 and beyond. The next growing trend involves product posting exceptionally high THC levels, capturing consumer attention. There are considerable industry doses regarding the accuracy of these high THC claims. Despite this, many consumers still prioritize the highest advertised THC when making purchasing decisions sidelining other quality measures. This creates an incentive for companies to emphasize maximum THC levels to drive sales. As Canadian budtenders tend to be connoisseurs, they understand that buying a gram of weed for $3.50, which takes 35% THC is not as good as a terpene-rich flavor-forward premium product like ours. A good proxy would be consuming straight alcohol versus a fine Napa Cabernet, two different consumption experiences. Budtenders will play an important role in educating consumers understand the complete flower experience. This is where the terpene-rich and full flavored quality of what our brands bring to the holistic experience beyond THC will shine. Our approach is more similar to cookies or Alien Labs in the U.S. who win their famous brand appeal, not through their THC percentage, but because the overall experience that the quality of their weed brings. Rubicon's organic cultivation delivers such an experience. As the market goes through the house cleaning of 2023, we believe that consumers are learning of Rubicon product consistency, superior quality and more unique full body flavors, which are expected to drive market success of our brands to win in the premium category. While we expect both price compression and THC inflation will impact our growth in the short term, we believe much of it is due to the financial strain of companies as they move into insolvency and will rebalance in '24. We believe that staying the course of our dedication and focus on operational execution, high-quality production towards our brands, together with new and favorite genetics and product formats will deliver the right value equation to our consumers. This landscape of distressed assets sets the stage for us to be opportunistic in the future. I will now pass the call over to Janis, who will share some specifics about the financials.
Janis Risbin: Thank you, Margaret, and good morning, everyone. Looking at our results for the most recent quarter, the company earned $11.3 million of net revenue, a 28% increase versus the same quarter prior year and also a 28% increase versus quarter 1, 2023. Turning to the gross profit line. We see continued growth year-on-year and expansion of our margin from 32% in quarter 2, '22 to 41% in quarter 2, 2023. As we see the results of our operating leverage of higher sales over a fixed cost base and industry low level, product destruction and write-offs. Overall, we were pleased that we are building on consistent positive adjusted EBITDA, marking fifth consecutive quarter we have achieved this milestone. Looking to our balance sheet. We did have a small expected dip in cash in the first quarter, but this increased by $1.7 million to $9.3 million at the end of quarter 2 with the cash generated from operating activities driven by the increased sales. As previously communicated, we expect CapEx spend to be less than $4 million for the year with $1.1 million having been spent up to Q2 2023. Our long-term debt bears interest at a very compelling rate of 7.5% compared to Canadian Prime at 7.2%. This will be moving to current at the end of December 2023, and we will be exploring our refinancing options and requirements in light of our healthy cash balance. As we look at the rolling 12-month run rate, we again see consistent growth coming from our quality products in all three flagship brands and in all key regions. Our super premium brand, Simply Bare, continues to contribute to net revenue growth for the rolling 12 months. We continue with successful new strain launches such as White Rainbow and another full quarter of our infused rosin pre-rolled been in market. With overall premium growth slowing and increased quality competition, we continuously review our Simply Bare portfolio to ensure we have a competitive product offering in market at the right price. 1964 continues to be the primary driver of the company's top line growth. Building on the success of the Simply Bare organic brand, 1964 was launched nationally in summer 2021 and has gone some strength to strength. In April of this year, 1964 was ranked as the number one premium brand in Canada. The success of the brand and reputation it has built can be attributed to the strong performance of legacy strains launched, including Comatose and more recently, Gelato #41. Looking forward, we are excited to see the results from the recent launch of Death Bubba a classic BC cultivar with deep roots in the legacy market. The company's first edibles were launched in Q2 2023 under the 1964 brand, which, although early days, are off to a great start, and we have since expanded the portfolio from two to five flavors due to demand. The launch of the 1964 live rosin edibles is a great example of identifying and working with a high-quality third-party partner to expand the offering of our premium brands. Wildflower continues to dominate the topical category, delivering net revenue growth, and we are excited by the potential for this brand as we expand more into the wellness sector, targeting daily use consumers. Looking at gross profit, we continue to see gross margin expansion over the rolling 12 months from 25% in the 12 months to Q2 2022, increasing to 39% in the most recent 12 months as we optimize our product mix and realize operating leverage on our fixed production costs. Production costs are down again in Q2 after a slight increase in Q1 as we continue to refine our growing techniques with targeted increased cultivation labor, resulting in higher quality and yields, but now also seeing the savings from our BC Hydro project. We have continued to deliver positive operating cash flow and adjusted EBITDA in Q2 2023, with these metrics improving on prior periods. Adjusted EBITDA continues to be an important measure for Rubicon as it strips out the noncash items in addition to the standard EBITDA calculation such as share-based payments and the gains and losses from the biological asset accounting standard, which can have significant swings as we saw between Q3 and Q4, 2022. The year-on-year improvement in profitability was driven by the 28% increase in our revenue, increased throughput at the facility and continued prudence with our spending and operating expenses. Our Q2 results have bolstered our confidence in our business plans for 2023 and set the foundation for another year of strong results for Rubicon. I would now like to turn the meeting back to Margaret to share more about the Canadian cannabis sector and Rubicon Organics.
Margaret Brodie: Thank you, Janis. In 2022, 41% of CCAA filings in Canada for cannabis companies, and as expected, there was no letup in '23, which continues to be a challenging year for the Canadian cannabis industry with several cannabis companies in insolvency proceedings. Rubicon did an assessment of Canadian cannabis producers in the first half and we expect conservatively 6% of market share based on '22 figures will come out of the market in '23. We estimate that over 3% of '22 market share has already gone into insolvency proceedings. I expect this to continue over the course of the next three to six months, while companies struggle with cash burn or unable to raise funds or excess debt. Although it is not all doom and gloom, a good group of Canadian cannabis companies are emerging as winners and Rubicon Organics is on that list. With many companies in financial distress, we see price compression that we expect to be short term. But on the other side of this is the Canadian cannabis industry with a strong surviving and growth opportunity in a more balanced supply-demand model. This is where our size of operations, asset-led model and focus will win. On the back of ongoing challenges competing against the illicit market, heavy regulatory and tax burdens, unsustainable pricing strategies from distressed competitors and THC inflation, we expect that many of these issues will be tackled in the coming year. I reiterate my belief that the federal government is expecting the industry to move to a stage of more balanced supply, demand, equilibrium before making any major changes that will impact the economics at both the federal and provincial level. In terms of Rubicon Organics, we have good upside. The legal market is still growing in all sales and premium categories with competitors falling away. So how do we grow our business with a single capacity-constrained assets? Firstly, we have organic growth. We are working to maximize our yield and quality from the Delta facility with the installation of tables and the remaining 50% of the facility that lacks them. This will increase our yield up to 10% with air circulation as base for plants, meaning better plant health which leads to higher terpene levels and quality. Then we target our most profitable products to sell to deliver the highest return on a fixed cost base. The growth in the overall premium flower segment means there will be more opportunity for us to sell our strongest price point of Simply Bare Organic flower over the coming years, where it's only about one-third of our sales at this time. Secondly, we leverage the power of our premium brands. In order to do this, we are applying external capacity to our business through our manufacturing relationships such as those for the newly launched live rosin edible and extension opportunities for our Wildflower brand. And secondly, through targeted and trusted contract grow relationships to fill the demand for our brands where appropriate. Our ability to leverage the power of our premium brands is examples in our incredible 1964 brand, which launched nationally in '21 and took the number one premium market position in April of this year. This means an asset-light approach taking advantage of knowledgeable cultivators who are not looking for the complexity of brand building and sales and marketing teams, but just want to grow great weed. With over 1,000 LPs in Canada, we have a lot of choice and solid cultivators exist looking for outlets like ours. Lastly, we will be opportunistic as and when the right options arise for our business to grow. As you can see from our guidance, with operating cash flow positive year, we are in opportunistic position. We see a growing marketplace and the demand for our loved brands offset by assets in the marketplace that are getting cheaper by the day. Our upcoming AGM is to be held on September 14, where we expect our Board observers will be successful in their nominations. Upon appointment, they will bring expertise and experience to our Board of brand managers, manufacturers, government relations, strategists and governance experts. The CEO role will be determined once the new Board is in place, and I have a high degree of confidence that our Board is taking the right steps for Rubicon. For the time being, I will continue as Interim CEO and CFO, and the existing leadership team continues with this strategy and is focused on delivering the next milestones. Rubicon remains focused on our business strategy and to deliver positive results to ultimately drive value for our shareholders. We are all aware that the Canadian cannabis industry is hampered by various issues, including an oversupply of inventory, claims of THC inflation and short-term focused price decisions by competitors, but we are in a winning position and are focused on building from the platform lead. Few companies in the cannabis sector are positioned financially such as Rubicon Organics. With our premium market position, balance sheet and positive trajectory, we expect to deliver continued growth in net revenue, resulting in an increase in gross profit and adjusted EBITDA for the full year '23 as well as positive cash flow. We would now like to open the line for analyst questions. Operator, please open the line.
Operator: [Operator Instructions] Your first question comes from Neal Gilmer with Haywood Securities. Please go ahead.
Neal Gilmer: Hi. Thanks very much. Good morning. Maybe I want to start - maybe I'll start on your comments on this THC inflation. And I know that in your MD&A, you referred to a comment that you think the regulators are going to look at it over the course of the next year. Seems a little bit of a challenging situation for resolution, given my understanding of the testing to what goes on the labels and stuff like that. How do you sort of see this playing out and being resolved?
Margaret Brodie: A really good question. And good morning, Neal, thanks for jumping on. It's frustrating, and I think it's part of a wider industry shakeout. We're seeing it both across the U.S. and in Canada, that there is a lot of THC inflation happening and obviously, the claims of lab shopping, et cetera, are really abound in - nationally and in the media. Look, one of the things that I think is interesting is when you're going for that premium experience, flavor and experience is important. We are limited by what we can say given Health Canada regulation. But if you walk into a store, they will - the budtender is really going to be an important part of communicating what premium is. I was in THC Canada, which is an absolute thought leader weed connoisseur across Canada, they're based in Vancouver. And they told me your White Rainbow is fire. I even smoked one and it was only - I think it said 25.5% or 26%, and it blows other things that say, 35% out of the water because of the experience. And we look to cookies, we look to Alien Labs. Those companies people aren't buying their weed on the basis of the THC percent. So we need - education is key. In terms of what's happening on shelf, that's an issue. I think that there are some wins in the industry. We have great relationships with Ontario and BC and a number of the big customers. They're looking at it and talking to Health Canada about it, I know, I think Health Canada will come in on this and I think we will see a clearing out of the next year. I wouldn't be surprised if the Competition Bureau comes in as well or Health Canada looks at it from a labeling perspective. It's going to take a minute, but I do think it will get cleaned up. Look, Five years ago, if you had 22%, you were crushing it and a beautiful 22% was incredible now. There's weed on shelf that says over 35% and experts would tell you that, that isn't in normal, that the plant doesn't necessarily deliver that and certainly not the new level and the numbers that we're seeing in the Canadian market.
Neal Gilmer: All right. Thank you for that. With respect to your comments on the price compression and obviously, that's caused by, as you referred to, some companies needing to flush out inventory. What's sort of your price strategy going forward as far as how you sort of navigate that near-term compression?
Margaret Brodie: Yes. It's another challenge. That's why we called it outlook. We think it's probably going to flatten out our sales in the second half because we see dumping of cheap weed. We also saw in the bankruptcy proceedings of Tantalus Labs, very well reported, the court cited that they could sell the product out into market. So we do expect more price compression there. But we do think it's going to be short term in nature because if you can't pay your excise, they're not going to let you continue. So that's - and you won't be able to sell into the rec market. Our strategy always looking at competitors' pricing and making sure we have a wide range of formats that play across several categories. And I think I would point you to think about the lipstick index. So you go for the small luxuries in times of inflation. So we want to make sure we've got products in the pre-roll category that are at the $10 and $20 mark, you can walk in and get a great experience and a premium experience from our products.
Neal Gilmer: Okay. Thanks. One sort of last, I guess, sort of more like a housekeeping question. As you complete the new tables in the Delta facility, what's sort of your estimated CapEx for the balance of the year.
Margaret Brodie: So total CapEx for the year will be less than $4 million. We're at the stage where as we earn it, we could choose to spend it or we could choose to make sure we keep ourselves in a strong position and we're going to keep ourselves in a strong position to tables and anything, automation related that improved quality is what we'll look at or improve operating efficiency. So in the second half, we've already spent $1.1 million in the first half on CapEx. I think we'll probably be - anything for under $3.5 million total in the year, but I'm going to say $4 million and then going forward, don't expect to have on that level of CapEx. What I think is nice is the operational efficiencies and the improvements that the tables bring. It's a project that we wanted to do, frankly, since we built the facility, we just didn't do it because, again, we're prudent on our cash and making sure that we keep the company strong.
Neal Gilmer: Great. Thanks for taking my questions.
Margaret Brodie: Thanks Neal.
Operator: [Operator Instructions] There are no further questions at this time. Please proceed.
Margaret Brodie: Thank you very much. I want to thank everybody for coming on board. We're obviously incredibly focused in building the best cannabis on earth and for the earth and looking to be the global brand leader in organic cannabis, watch this space. There's a lot of excitement for the companies that are in winning positions in Canadian cannabis and we see a very bright future. Thank you very much.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.